Operator: Good day and welcome to the Vera Bradley Second Quarter Fiscal 2023 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Mark Dely, Chief Administrative Officer. Please go ahead sir.
Mark Dely: Good morning, and welcome, everyone. We'd like to thank you for joining us for today's call. Some of the statements made during our prepared remarks and in response to your questions may constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from those that we expect. Please refer to today's press release in the company's most recent Form 10-K filed with the SEC for a discussion of known risks and uncertainties. Investors should not assume that the statements made during the call will remain operative at a later time. We undertake no obligation to update any information discussed on today's call. I will now turn the call over to Vera Bradley's CEO, Rob Wallstrom. Rob?
Rob Wallstrom: Thank you, Mark. Good morning, and thank you for joining us on today's call. John Enwright, our CFO, also joins me today. While total company's second quarter revenues of $130.4 million were modestly below our expectations. And we continue to experience gross margin pressures due to logistics costs. We drove product innovation at both Vera Bradley and Pura Vida initiated meaningful cost reduction actions, and completed 6 million of share repurchases, while maintaining a solid debt free balance sheet. We are continuing to see bifurcation in the spending of our customer base. At Vera Bradley direct full price channel comparable revenues were nearly flat to last year and up double digits to fiscal 2020. Additionally, our Vera Bradley indirect channel continued to experience a healthy year-over-year rebound. However, inflationary pressures especially higher gas prices continue to negatively impact the traffic and spending in our Vera Bradley factory stores. However, as gas prices are easing, we have seen a recent improvement in our factory traffic and revenues. We are taking decisive actions to strengthen our core brands and the overall enterprise. We have begun implementation of targeted cost reductions of 25 million, which are expected to be fully realized in fiscal 2024. These cost reductions will help offset inflationary expense pressures and recessionary spending behavior from lower income households. Expense savings are being derived across various areas of the company, including retail store efficiencies, marketing expenses, information technology, contracts, professional services, logistics and operational costs, and corporate payroll. In addition, we are continuing to evaluate and execute strategic price increases for both brands to offset rising raw material and freight cost. At our Vera Bradley brand, we remain confident in our core strategy by continuing to innovate and build on our lifestyle merchandising focus. We are continuing to optimize travel category, which is nearly back to pre-pandemic levels, maximizing back to campus opportunities with strategic assortment enhancements, and continuing with powerful product collaborations like Disney and Harry Potter. And we are excited about expanding our home assortments this fall and adding clouds slip ons and miles to our Vera Bradley footwear franchise next month. Pura Vida's e-commerce revenues continue to be affected by the shift in social and digital media effectiveness and escalating digital media cost. At Pura Vida, we are evolving our business model from one that is largely dependent on e-commerce and digital marketing to one that is a true omni-channel business with a more diversified marketing base. This will take time, but we are taking the actions to make this transformation happen and return the brand to long-term growth. Our number one priority is to build a more diverse, innovative, effective and performance-based marketing program to drive e-commerce sales. And we are bolstering our internal marketing and data analytics talent. Most importantly, we are in the process of implementing a comprehensive customer data platform from Pura Vida to build a single coherent, complete view of each customer so that we can better target and personalize marketing and become less reliant on third-party marketing. In the meantime, we are continuing to work with our micro influencers, expanding our TikTok presence, launching impactful ads on connected TV, optimizing SMS and aggressively exploring other methods to effectively reach our customers day in and day out. Pura Vida's future growth will be a balance of online growth and growth in physical distribution channels. Stores will play a key role in driving new customer acquisition as we continue to diversify our marketing platforms. During the quarter, we opened a new Pura Vida store in the Irvine spectrum Center in Irvine, California. And in August, we opened a third location at Broadway at the beach in Myrtle Beach, South Carolina. Like our original location opened last year in San Diego's Westfield UTC Mall, both new locations are exceeding our expectations. We will open a fourth store at the San Tan village in Metro Phoenix in September. Stores can play a key role in driving new customer acquisition as we continue to diversify our marketing platforms, and they demonstrate the power a retail presence has in driving digital sales, omni-channel loyalty and spending. For example, we continue to experience a double-digit differential in our San Diego e-commerce business relative to the rest of the country since that store opened. We look forward to the impact and more stores in the future. On the product front, we continue to build customer excitement and engagement through collaborations like Disney, Harry Potter, Hello Kitty and the World Surf Lake, partnering with key influencers offering themed collections centered around key events like Shark Week, and the launch of our demi-fine collection featuring 18 karat gold plating, sterling silver and natural stones. Look into the balance of the year and even into next year, we are planning for the macro environment to remain challenging. And despite the strength in Pura Vida store business and opportunity for new store openings, we expected to take time to return Pura Vida's e-commerce business to growth as we are building and transforming the marketing program is underway. We are taking critical actions that will further strengthen both core brands and our company as a whole, not only to successfully manage through this period, but to position us for the future. Our teams are focused and our cash position and balance sheet remains strong. We have successfully managed through challenging business cycles before. And I am confident that we will manage through this period as well. We will look forward to returning both brands to steady growth. Now let me turn the call over to John to review the financial results. John?
John Enwright: Thanks, Rob, and good morning. Let me go over a few highlights for the second quarter. The numbers I will discuss today are all non-GAAP and exclude the charges outlined in today's release totaling $32.2 million on an after tax basis. The major components of this total are a write-down of Pura Vida goodwill and intangible asset impairment charges of $18.2 million, $7 million of severance charges and consulting fees primarily associated with cost saving initiatives, and $5.6 million of inventory related charges for the write-down of masks and other inventory as well as fees related to the cancellation of certain orders for the spring 2023 goods. For a complete details of items excluded from the non-GAAP numbers as well as a reconciliation of GAAP to non-GAAP numbers, please reference today's press release. Consolidated net revenues totaled $130.4 million compared to $147 million in the prior year second quarter. Consolidated net income totaled $2.4 million or $0.08 per diluted share, compared to $9.5 million or $0.28 per diluted share last year. Vera Bradley direct segment revenues totaled $87 million, a 10.4% decrease from $97.1 million last year. Comparable sales declined 13.8% in the second quarter. Vera Bradley indirect segment revenues totaled $17.3 million, a 2.9% increase over $16.8 million in the prior year second quarter. Pura Vida segment revenues totaled $26 million, a 21.3% decrease from $33.1 million last year. Second quarter gross margin totaled $67.8 million or 52% compared to $80.4 million or 54.6% last year. The current year rate was negatively impacted by higher inbound and outbound freight expense, deleverage of overhead costs and channel mix changes partially offset by price increases. Consolidated SG&A expense totaled $64 million, or 49.1% for the current quarter compared to $68 million or 46.2% last year. As expected, Vera Bradley's SG&A current year expenses were lower than prior year, primarily due to a reduction in variable related expenses due to lower sales volume and other cost reduction initiatives. The company's second quarter consolidated operating income totaled $3.9 million, or 3% of net revenues compared to $13.4 million or 9.1% of net revenues in the prior year. Now let's turn to the balance sheet. Total quarter and inventory was $179.6 million compared to $148 million at the end of the second quarter last year. We have $24 million of additional inventory in transit this year as we continue to navigate delays in the supply chain and ensure we have adequate inventory coverage going into the fall and holiday selling periods. Cash, cash equivalents and investments at quarter end totaled $38.3 million compared to $76.5 million at the end of last year's second quarter. A key reason for the lower cash position is due to the inventory build of $31.6 million over last year. We remain in a solid cash position with a debt free balance sheet. We will continue to take a conservative approach to cash, particularly in this volatile and challenging environment. During the quarter, we repurchased approximately 6 million of our common stock, representing 1 million shares at an average price of $6.11. We have $29.3 million remaining under our $50 million repurchase authorization. Now let's shift to our fiscal 2023 outlook. We expect the challenging macroeconomic environment to continue for the balance of the year and anticipate it will take additional time to return Pura Vida e-commerce business to growth. High gas prices and other inflationary pressures will continue to impact the Vera Bradley factory channel and there will be a continued pressure on gross margin. As a result, we have adjusted our outlook for the balance of the fiscal year. All forward-looking guidance numbers that I will discuss are non-GAAP. For fiscal '23, we expect consolidated net revenues of $480 million to $490 million compared to $540.5 million in fiscal 2022. We expect our consolidated gross margin range from 53.7% to 54.1% compared to 53.3% last year. We expect year-over-year increase is primarily related to incremental inbound and outbound freight expense and expected deleverage on overhead costs more than offset by price increases. Consolidated SG&A expense should range from $246 million to $250 million, compared to $258.8 million in fiscal 2022. The reduction in SG&A expense is being driven by cost reduction initiatives and a reduction in compensation expense, marketing and other variable-related expenses due to expected sales decline from last year. We expect consolidated diluted EPS of $0.20 to $0.28 compared to $0.57 last year. Net capital spending should total approximately $8 million to $10 million compared to $5.5 million in the prior year. Operator, we will now open the call for questions.
Operator: [Operator Instructions] And we'll take our first question from Oliver Chen with Cowen and Company. Please go ahead.
Oliver Chen: Hi, Rob and John. Good morning. Could you speak to the inventories in terms of the status with having coverage you’re taking the write downs and why was it the right time for the write-downs and what that mean going forward? You also have some cancellations. So the ones that understand the composition of inventory because it sounds like some things are working, but clearly some are not. Thank you.
Rob Wallstrom: Yes, Oliver, good question. The further write-downs it was more specific to certain categories. So as we looked at our mask inventory, we had built a mask inventory based on the pandemic. And we had expected to continue to work through that inventory. With some of the changes from the CDC as well as just consumer behavior, we're not selling -- really seeing that sell-through. So that was the vast majority of the write-down and both brands was associated with mask inventory. If you look at the remainder, it really was associated with tech accessories and think of that as kind of older iPhone accessories. But ultimately, we are also not seeing the sell-through as people have moved on to newer models. So really that was the basis of the write-down and why we took the write-down this time. In inventory, the growth is -- year-over-year has really been driven by two things. It's really been driven by the in transit inventories, it's about 100%, higher than it was at this point last year in the second quarter, just to ensure we have the appropriate product in place for holiday season as well as incremental freight expenses as burden the inventory. Year-over-year we've seen that increase from where we were the first half year. Obviously, the back half of the year the freight expense was exacerbated last year, and we're seeing some benefit. And we are we should see a little bit of benefit to that, given how freight is being less challenged this year versus last year.
Oliver Chen: Okay, and the comps being down 13.8, what happened in terms of the volatility is the biggest negative portion of traffic and what's implied in your guidance for what you're seeing, and did you close more stores than expected to or that already in your plans?
Rob Wallstrom: So this year, ultimately, we're close about -- we're going to close about the number of stores that we anticipated. As we continue to look for next year, we're still working through what that means next year. In regards to the comps, the comps are being driven, really from the off price business, the outlet business. We're seeing better performance in our full price business, whether that is in full line stores, or that's on verabradley.com. And we're taking the expected trend that we saw in the first half of the business in those channels and assuming that they're similar in the back half of the year.
Oliver Chen: Okay. And on the Pura Vida side, the issue around digital marketing has been apparent within the industry at large for a while, what's happening now? What's the state of digital marketing and the path ahead for that business? What are the key hurdles and things that you need to do to improve it more structurally and have it be more sustainably growing over time?
Rob Wallstrom: I think from the Pura Vida marketing, Oliver, I think a few things. One, you're right, that they're definitely in this direct consumer market. Everybody's feeling the impact for us at Pura Vida, we've been bringing in both outside teams as well as supplementing talent to move our reliance on what are called the meta platform for lack of a better term in terms of Instagram, Facebook and those platforms and starting to push more into first party marketing, building up our CDP platform and also looking at other alternatives. So in other words, they're launching connected TV program, here in this quarter coming up. So we're looking at new ways of doing that. But long-term, we believe that part of the fix to the marketing challenge is also going to be this diversification into omni-channel if you've seen with other direct consumer companies that what we've seen in San Diego has been encouraging to see, such a significant relative improvement in the San Diego market if we continue to see that which the early signs and it's only been weeks and months and the other stores. We're seeing similar behavior in the other locations, that we think that stores and themselves will play a very important part in stabilizing the Pura Vida business as we go-forward.
Oliver Chen: Okay. And on the merchandise margins, price increases. Could you update us on your thoughts there? It sounds like the environment has gotten worse. Yet you've been able to get some price increases, what are you thinking about what's embedded from merchandise margins, and also inflation of the COGS relative to price increases going forward?
Rob Wallstrom: So from a merchandise margin perspective, we're actually seeing, the price increases are being accepted. And we're seeing improvement year-over-year, really the challenge that we're seeing is associated with logistics costs. We're actually seeing from logistics cost some benefit and potentially back up here, and we're thinking we'll see that benefit into next year, just given some of the inflationary pressures on the macro economy. So we would expect to see some benefit from those inflationary costs, i.e. freight into the back half and into next year. In regards to product costs, we're still working through some of the challenges associated with that. But we don't anticipate a significant increase in some of our raw material costs into next year, given some of the macro events that are happening, or how the economy generally speaking from a worldwide perspective, is not as strong as it was this time last year. We are still assessing whether or not -- whether it makes sense to continue to push prices. And we'll continue to do that through the [indiscernible] of this year and look -- as we look into next year.
John Enwright: I think though, from a price increase, Oliver, what we're doing is we took pretty broad price increases across both brands beginning the year and kind of been working through that in the first half of the year. I think as we look at going forward, it's going to be more micro adjustments on those price increases. So not as much across the board. We think in a lot of cases, we've kind of the consumers accepted, but we can already begin to see that there's some resistance in a few items. So it's going to be a much more detailed adjustment in prices as we go to the next 12 months.
Oliver Chen: Okay, very helpful. On the balance sheet and cash balance, what do we know about working capital and the source of -- source or use of cash flow in terms of 3Q, 4Q? Your cash balance went down to $38.3 million, you're surely be worried about that.
Rob Wallstrom: Yes, obviously, everything's contingent on kind of performance in the back half of the year. I would say as we think about our looking at cash and cash utilization in the first half of the year, we spent some money increasing from an inventory perspective, as well as usage of cash associated with share repurchases. We'd like to be more conservative on the back half of the year in both of those uses of cash. And as we currently forecast, we expect our cash balance to grow by the end of the year, but that's all contingent on our performance.
Oliver Chen: Okay, Rob on the consumer, this bifurcation trend has continued and you call down early. And then plenty of retail companies just even taking guidance out. What are you seeing now with the consumer? Does the volatility concern you? We certainly have a lot of negatives and positives, but the consumer still have spending power.
Rob Wallstrom: Yes, I think a couple of points. I think one, what we're seeing from a spending behavior, the biggest story for us is the impact of gas prices on the factory channel, that will be perfectly honest, even not so much just total discretionary spending, but just the ability to go out to factory stores, generate the traffic there that we're seeing the impact. So that's our biggest concern. So gas prices in of themselves is the number one impact we're seeing. So it's been good as gas prices started to moderate a little bit, we saw traffic beginning to rebound and factory stores relative to trend. And we began to see that come through on the revenue line. So we're hoping that the gas price situation continues to moderate and that could be helpful. Overall, it's been interesting watching the consumer. I know all of us are thinking about the back half and what's going to be happening with consumer. But as we think about what's been happening in July and August, we haven't seen an overall further deterioration. And I think a lot of it is that gas price piece that's been rebounding and kind of moderating. So, we're hopeful that where we see the consumer today, as we move through the year, we'll be similar to what we see in the back half. It's not robust by any means. But we're not seeing further deterioration, which is good.
Oliver Chen: Okay. And I'd love if you could just talk briefly about the key product initiatives, both Vera and Pura Vida that we should be focused on just a few priorities. You've done a lot of innovative partnerships and the Pura Vida brand is definitely mission focused.
Rob Wallstrom: Well, I think a couple things, I think, one, if you think about the product assortment, there's a couple of different ways we look at the product innovation. So from a licensing standpoint, that's been very successful across both brands, that's been very impactful, not only in driving some revenue and excitement, but really in customer acquisition. So those programs are really important to bring new customers in, and it makes the marketing efficiency stronger. So we continue to see that we'll continue to look for those partnerships and keep them exciting as we move forward. And just stay tuned for more new exciting announcements there. If you get into specifics in terms of product categories across the two brands, at Vera Bradley, they continue to do a lot of innovation. We have things, not only our core innovation that we've seen coming through, but also a newness. So like the Vera Bradley footwear launch and fall is going to be an important launch for us. We're going to watch that. At Pura Vida, there's two things we're looking at. One, the consumer still is very, very engaged in the core bracelet business, particularly as travels rebounded, that we're seeing that that business kind of take a pop back up, which is encouraging to see. And then at the same time, they've launched into this demi-fine collection, which is just a higher price point, a higher quality and the initial response has been very positive there and really has helped us to kind of reengage deeper that 25 to 35 year old customer, which has historically been part of the magic if you're a beta kind of both as young, teenage customer as well as kind of this 25 to 35 year old customer. So those are the areas that I would say are the most important to be watching.
John Enwright: Yes, the only thing I would add to that, Rob, if you think about Pura Vida, in the stores, the apparel business, when the consumer gets the opportunity to touch and feel the quality of the apparel business, we're seeing them engage with that product much more broadly than they do when they're online. So as we open up more stores, there'll be an opportunity for that category.
Rob Wallstrom: Yes.
Oliver Chen: Okay. And on the charges, the biggest one was that $18.2 million Pura Vida store impairment charge. What was underlying that valuation from a governing or market valuation perspective? And then the $0.8 million of [indiscernible], could you just provide a little more details about what that related to the $0.6 million store impairment? Thanks.
Rob Wallstrom: Sure. So if you think about the Pura Vida impairment, the majority of that is associated with a goodwill impairment or trade name impairment and really on an annual basis, we do a test after we made that purchase. And we look at future cash flows. Given kind of the current performance of the brand and the near-term expected performance of the brand based on just the expected cash flows we had to write-down that goodwill and that trade name. In regards to the store impairments, we looked at really -- it's the same thing. We looked at future cash flows of those individual stores compared to the current asset value for those stores and based on the expected cash flows, we needed to write-off some of those assets.
Oliver Chen: Should we be concerned about incremental write-offs? I mean, I get this is a review process that has to be done regulation and accounting regulation perspective, the true statement. And Rob, as you said back, what do you think are the key risk factors that you're monitoring?
Rob Wallstrom: So I'll just answer the first question, right? So yes, we have to regularly review the goodwill balance. So we'll do that on a quarterly basis. As a review, we do an actual test on an annual basis, which is done in the second quarter. So we'll continue to review it. Based on what we've put forward and our expectations for the business, we would say if we perform to that expectations and we shouldn't see another write-down. And then I think your second part of the question, Oliver, what I'll do is talk about the risks and opportunities, because I think both are really important. So from a risk standpoint, taking it by brand, at Vera Bradley, I'd say the number one risk factor at this point is gas. If gas rebounds [indiscernible] we're backed $5, $6, $7, $8 a gallon as we go in the back half of the year, that will suppress the factory channel. So I would say gas is by far the largest risk. At Pura Vida, I think it's just a matter of the recovery, this digital marketing and how what was big asset for the business, was its ability to manage digital marketing and having the same impact, we've got to get the marketing platform reset. So getting that reset is the biggest risk in the Pura Vida business. But I think it's important to talk about opportunity, because if you back up, and you think about what's going on at the company, I think that there's three big macro impacts that it's impacted us. So one is the logistics cost, the logistics costs that are flowing to our P&L right now, or what we would probably consider peak from what we're seeing, we're beginning to see logistics cost, particularly the international inbound shipping, begin to moderate. And so that hopefully will be a tailwind as we move forward and can help us. So that's encouraging. I actually think that that's a positive on the logistics as we move through the end of the year, particularly, as we are able next year to redo contracts as we're able to get the capitalized costs working through the balance sheet that will be a profit improvement that you'll definitely see as we move into next year, which is encouraging to see. So one of the macros is logistics and duty that will get better. So that's good news. The second real big one has been this gas price impact in factory so as gas prices moderate, which we think we're hoping to see that that will be a lift. And then the third one is just really been this performance marketing with Pura Vida. And as we have more stores that will help us. As we get all of the work that we're investing now in terms of the data platform, and rebuilding the performance marketing organization, I think that that's another big lift. But I think that the three things that affected our business, in terms of gas logistics, and this digital media shift are just big macro ones that we were -- we're exposed overall in the industry. So we're working through them, but I think we're working through them, and it will get better as we move into next year.
Oliver Chen: Okay, and last question. So one, on the digital marketing and performance. Was that an issue of the Vera Bradley brand as you are highlighting -- highlights there? And second, regarding the inventory cancellation, it sounds proactive. Which parts of the inventory did you do that with in terms of the composition? Thanks a lot.
Rob Wallstrom: John, do you want to take some of the inventory [multiple speakers] so I can talk about the additional [indiscernible]?
John Enwright: Yes, if you could just repeat your question on inventory? I didn't actually hear the specific question, Oliver.
Oliver Chen: We [indiscernible]. John, in terms of the inventory calculations, which ones did you need, which parts of the inventory needed to be cancelled?
John Enwright: So we looked at future orders that made in all categories, quite honestly. So we looked at where we expected the sales to come in on a forward basis into kind of next year and where we were -- we expected to fit in inventory. And we looked at opportunities where we felt that there was -- we could offset some of the liability based on new sales expectations. And obviously, with the inventory kind of growing year-over-year. So it wasn't specific to a particular category. It was specific to opportunistic ability to cancel some orders, really.
Rob Wallstrom: Yes, I think the only thing I would add to that, Oliver, if you just think about what's been happening in our factory channel, right as gas prices gone up, businesses slowed. So getting that inventory back in line is probably one of the primary drivers of that cancellation. So don't think about it as, oh well, a category is not working, items not working, that's not really, it's just an overall demand. And it gave us the opportunity to just kind of moderate that inventory risk as we went into next year.
Rob Wallstrom: A So yes, I think it's more channel specific versus categories. It's good way to think about.. I think your second question, Oliver, was -- what about Vera Bradley and digital marketing. And so I think there's two different aspects. First of all, one of the great assets at Vera Bradley is we have a very strong first party marketing. We control our customers, we communicate with them directly. We're not as dependent upon third-party marketing for our known customer base. We use the third-party marketing more for acquisition. And then what the team has been able to do here over the last couple years at building out our highly detailed analytical performance marketing base. They are -- they've been able to mitigate some of the cost by rebalancing, refocusing, they have a few more tools in the toolbox, shall we say? And so what we're doing is taking a lot of those learnings that we've already implemented at Vera Bradley and beginning to leverage back against Pura Vida to learn from. But the biggest difference in Vera Bradley, it's not that they haven't experienced some of the same challenges, they've been a little bit more effective in finding workarounds, but to -- it's not as impactful to the total business as it is at Pura Vida.
Oliver Chen: Okay. Thanks for answering all my questions. Best regards.
Rob Wallstrom: Thank you, Oliver.
Operator: All right. Up next, we'll take questions from Joe Gomes with Noble Capital. Please go ahead.
Joe Gomes: Good morning.
Rob Wallstrom: Good morning, Joe.
Joe Gomes: So you’re talking about the positive impact of opening Pura Vida stores, we got the one additional one in Phoenix to open, I think, in September, you mentioned. Can you kind of give us a game plan of what you see on the go-forward basis of new store openings in Pura Vida?
Rob Wallstrom: Yes, Joe, I can jump into that one. So first of all, we do have the new store in San Tan that's opening. We are now anniversary in our UTC store in San Diego. So we're obviously going to start watching that from a comp stand -- comp performance standpoint. And once we kind of evaluate, I would say this fall, how all the new stores are performing. It'll really inform our go-forward real estate strategy, but I do believe there's significant opportunity for stores in the Pura Vida brand going forward.
Joe Gomes: Okay. And then you talked about the $25 million in cost reduction initiatives, which is kind of at the high-end of what you talked about previously. Wondering, how did you get to the higher end? And two, how much of that did impact the second quarter? Because I think in the first quarter call you mentioned, you did expect to see some of that flow through in the second quarter.
Rob Wallstrom: Yes, so we saw a little bit in the second quarter flow through because we weren't finalized with all the plans really into call -- in the middle part of the second quarter. But we obviously, on a quarterly basis, given performance, we'd look at opportunities to make savings regardless if it was associated with the $25 million. And we will see some of that benefit, which is built into our guidance in the back half of the year. How we ended up at the high-end really just looked at kind of opportunity and really the teams all work together based on where we see current performance and where we expect the business to be next year, on areas that we felt we could slim down. And so it really was a collective effort amongst both brands and the corporate team to come up with that value.
Joe Gomes: Okay. And just one of the things that you had talked about in the past, kind of been M&A being part of the growth strategy, given the transition going forward here. Do we still see M&A is as part of the growth plan and the growth strategy, I guess, or is that going to kind of take a backseat to getting and working on the two existing brands?
Rob Wallstrom: It's great question, Joe. I think that what the [indiscernible] team's focus is, number one is getting the two core brands strong. Vera Bradley, overall, we think is in a pretty good place. But we need to see the macro environment improve there. The Pura Vida, we need to get the performance marketing really working and get that brand really turned around. The board's very focused on getting those two things accomplished first before highly focusing, shall we say on M&A activity. I think we're always open to any version of shareholder return. But I don't think that the M&A activity is going to be a primary focus over the next 12 months. And as we get through the transition, I think that the Board and the new CEO will kind of align on what role does M&A play as we move forward.
Joe Gomes: Okay, great. Thanks for taking the questions. I'll get back in queue. Let someone else ask a question.
Rob Wallstrom: Thanks, Joe.
Operator: All right. And our next question will come from Eric Beder with SCC Research. Please go ahead.
Eric Beder: Good morning.
Rob Wallstrom: Good morning.
John Enwright: Good morning.
Eric Beder: Actually I want to do a follow-up on the $25 million in savings. Yes, how much of that is going to be incremental next year? What should we be thinking about in terms of the flow of? And I know you mentioned, this can be some in the back half? How much of that is simply thinking about that?
Rob Wallstrom: Yes, so if you think about kind of your question is, how much are we going to achieve this year versus the full run rate next year? And I think there's an opportunity this year, probably too cheap, call it 40% of the total. There might be more opportunity, but we're looking at kind of the timing associated with that.
Eric Beder: Okay. So if I look at some of the pricings, you've gone through almost 2 years as a Harry Potter piece. It's had its time come up. How -- what have you taken away from that? Are there collaborations in terms of how long they should be? And how do you keep them fresh going forward?
Rob Wallstrom: There are a couple of things that we've learned from our collaborations is, first of all, they are a great way to bring customers into the brand. We've had success in bringing new customers in and converting them into the brand, which has been very encouraging across both Vera Bradley and Pura Vida. So we think that it definitely plays an important role. We have seen that it is important to keep that licensing pipeline fresh and continue to look for the right opportunities, and find new ways of doing things. So whenever we introduce a new licensing, the first one quite often is the largest launch, and then the other ones are more follow-up. So I think the follow-up plays a role. But I think we have to continue to be fresh, continue to look for new opportunities. And you've seen us do that in both brands, right? Like last Christmas, when we did the peanuts collab at Vera Bradley, that was fresh and new and highly impactful. And you're seeing the same type of thing that Pura Vida. So I think we have to keep that pipeline fresh as we move forward.
John Enwright: I think just add on to it, I think it's the execution of product. So at Pura Vida, we're in the second release of really Harry Potter, and we're seeing good success in the second release, and probably a little bit better success than we saw in the first release. And I just think that speaks to kind of how the product evolves over time to …
Rob Wallstrom: [Indiscernible] product end marketing execution because what was encouraging is that for Harry Potter, they did put some video out. And so I think it's a combination of both the product and marketing.
Eric Beder: Okay. [Indiscernible] Bradley. So you got about 65 or so full price 77 or so, how that's -- what you would be thinking longer term are those about where you want to be for these -- these pieces of the chain? I know the [indiscernible] have gone off, and these oil prices have continued to decline? What should we be thinking about that?
Rob Wallstrom: Yes, I would continue to think that we'll close some full price stores. Ultimately, we are still working through that for next year, and what if the number will be but what I think we'll see that number come down. And we still think there's still some opportunity in the factory channel for Vera Bradley for next year and into years after that. But I don't know if we'll be opening six a year because that's typically what we've opened up in the past few years, but we still think there's opportunity to increase that. But the organization and teams looking at other opportunities from a full price perspective, for fair value, we're not going to continue to close all the doors, we're just looking at opportunities, how we can -- how and where we can speak to our consumer a little bit better.
Eric Beder: Okay. And last quarter, you guys did some online I guess flash sales for the outlets. What was the response to that? And is that something that's going to continue to expand going forward? Because I know you tried to keep the outlet sales outside of the online on the -- in the website.
John Enwright: So we have we -- on a monthly basis, we have -- we about call it a flash sale or what we call online outlet and that that's up every month. It's been up for 2 years, 3 years that we've been doing it. It has more, I think your question maybe had more factory product outlet product and had had previously. And as we kind of work through the inventory, I would expect it to continue to have a higher percentage of factory product and it's had historically as we work through our inventory values this year.
Rob Wallstrom: Yes, no, I think everything John said that is definitely what the focus. I think you have to keep in mind is that, as John said, we've had the online outlet now for a few years and what it really does, it's helped us liquidate. So what we're seeing is that because factory inventory is building, we're putting more factory in there. If we were in a different situation were more prolonged, we would adjust it. So it's a very efficient liquidation channel for us. And we'll continue to do that. But we don't -- we -- at this point, we have not executed that as a primary growth channel, we've just used as a primary liquidation channel.
Eric Beder: Okay. All right, guys. Good luck for the back half of the year.
Rob Wallstrom: Thanks, Eric.
John Enwright: Thanks, Eric.
Operator: All right. And we have no additional questions at this time. I'll turn the call back to Rob Wallstrom for closing remarks.
End of Q&A:
Rob Wallstrom: Before we close, I wanted to give you a brief update on the CEO search. As you know, I recently announced my plan retirement, but my plans are to remain in the CEO role until my successor is named which is expected by the beginning of 2023. The Board has formed a search committee and a national search is underway. As the Board searches for the next CEO they are in the desirable position of having two iconic brands with a loyal and dedicated customer basis, a solid balance sheet and a talented leadership team. The Board takes very seriously its responsibility to find the right CEO and we'll continue our focus on building consistent sustainable growth over the long-term. We are preparing for the macro environment to remain challenging through the remainder of this year and into next year. We know it will take time but we are taking decisive actions that will further strengthen both core brands and our enterprise as a whole. Our challenges have been largely driven by the macro environment. But we have a solid foundation with our two unique brands, strong customer loyalty in amazing cultures. I'm confident that the company will return to growth as the economic headwinds and cost pressures begin to resend. Thank you for joining us today and we look forward to speaking with you on December 7 on our third quarter earnings call.
Operator: And this concludes today's call. We thank you again for your participation. You may now disconnect.